Operator: Good afternoon everyone, and thank you for participating in today's conference call to discuss AutoWeb's Financial Results for the Third Quarter ended September 30, 2021. Joining us today are AutoWeb's President and CEO, Jared Rowe; the company's CFO, Michael Sadowski; and the company's outside Investor Relations Adviser, Cody Cree, with Gateway Investor Relations. Following their remarks, we'll open the call for your questions. I would now like to turn the call over to Mr. Cree for some introductory comments.
Cody Cree: Thank you, Daniel. Before I introduce Jared, I remind you that during today's call, including the question-and-answer session, statements that are not historical facts, including any projections, statements regarding future events or future financial performance or statements of intent or belief are forward-looking statements and are covered by the Safe Harbor disclaimers contained in today's press release and the company's public filings with the SEC. Actual outcomes and results may differ materially from what is expressed in or implied by these forward-looking statements. Specifically, please refer to the company's Form 10-Q for the quarter ended September 30, 2021, which was filed prior to this call as well as other filings made by AutoWeb with the SEC from time to time. These filings identify factors that could cause results to differ materially from those forward-looking statements. Please also note that during this call, management will be disclosing adjusted EBITDA. This is a non-GAAP financial measure as defined by SEC Regulation G. A reconciliation of this non-GAAP financial measure to the most directly comparable GAAP measure, any statement disclosing the reasons why company management believes that adjusted EBITDA provides useful information to investors regarding the company's financial condition and results of operations are included in today's press release that is posted on the company's website. And with that, I will now turn the call over to Jared.
Jared Rowe: Thanks, Cody. Good afternoon, everybody. So we continue to make some really solid progress in our business transformation during the third quarter. Despite some significant headwinds from supply constraints throughout the automotive industry, which really did diminish new vehicle inventory and production levels, which tended to offset our seasonal strength that we typically experienced during Q3, but year-over-year growth trends in our click metrics demonstrate to us, the consumer demand remains robust among intent car buyers. We continue to swiftly integrate the amp scale CarZeus which is our new vehicle acquisition in resale product or segment, Mike will talk more about that to help address this demand and establish our foothold within the used vehicle acquisition business. Now we believe that the customer acquisition efficiencies and platform enhancements we've built have given us a strong foundation for growing our vehicle acquisition business and driving completed used vehicle transactions from start to finish. Now before we discuss this transformation and our performance during the quarter in greater depth, let me first provide some additional context state and evolution of today's vehicle buying dynamics. Retail dealers and OEMs continue to be challenged by widespread pandemic-related supply shortages, including the ongoing semiconductor and microchip shortage. These disruptions are still constricting new car production levels and overall vehicle availability. With Bloomberg Intelligence estimating that the number of used and new cars and dealership lots fell by a third of last year's levels. Individual dealers and OEMs have limited visibility and control over their supply chain conditions, which likely will not normalize for several periods. Even when supply chain constraints do begin to ease, this doesn't mean that new car inventory levels will immediately surge. Rebounding demand along -- among in-market vehicle shoppers has created backlogs for specific vehicle models at the dealership level. So once the vehicle supply chain normalizes, dealers will need to first fill the orders of customers who have already put down deposits or signed-up for waitlist before they fully replenish their lot. Conversely, the market conditions that have hampered new vehicle transactions that have spurred the growth and urgency of used car transaction. We've been ramping demand environment according to data from the Federal Reserve of St. Louis and Cox Automotive, the proportion of used car sales, used car SAR as a percent of total SAR, new and used has risen from approximately 69% in January to about 75% at the beginning of September. In parallel used car and truck prices increased by approximately 32% year-over-year and this is according to the latest U.S. Department of Labor Data. But these evolving market conditions within our industry complement the evolution that we're driving in our own business. As we've shared over the past three years, the initial phases of our transformation strategy have focused on improving our core business. We've meaningfully improved our consumer-facing platform experience, we've accelerated our innovation cycle and we've enhanced our offerings by layering in retail ready components such as finance platform, functionality, and the cars used vehicle buying service to ultimately provide a more tailored experience for consumers in really a more sophisticated way of helping them complete their vehicle transactions. Now, with this groundwork in place, we're well-positioned to progress into the next phase of becoming an automotive matchmaker. Through integrating and scaling cars used, our used vehicle acquisition and resale business, we aim to use our digital retailing advantages to begin directly fulfilling matches for our network of in-market car buyers. Now, while there are others who buy cars directly from consumers, we believe that we have an advantage in that, we have an established and expanding suite of resources dedicated to identifying and retaining in-market consumers. Our proven customer acquisition efficiencies have helped us build an optimal audience for our ramping vehicle acquisition business, which is an audience of in-market consumers that we can support through the entire transaction phase, from disposing of their current vehicle to evaluating and acquiring a new one. Having this capability positions us to both fulfill consumer demand directly and provide retail and wholesale dealers with additional sources of inventory. Furthermore transforms us into a first party participant in the used car transaction process allowing us to both leverage the current and advantageous dynamics in that market and emerge from the challenges in the new car market with a stronger foundation and a more comprehensive value proposition. This third-party audience efficiency matched with first party monetization is a very important point and it's something that that you're going to hear us talk an awful lot about over the next several periods. Now, most traditional media companies will always stay Media Company. However, that's not the path that that we've chosen. The total addressable market for automotive digital advertising is about $15 billion according to e-marketer. By contrast, our business transformation allows us to address a far larger market than we would by simply focusing on our legacy marketing offerings. We believe that our platform offers a more tailored funnel approach to acquiring traffic and consumer leads than what larger media-only players can provide, which gives us greater flexibility to evolve our business beyond the media routes. In fact, in September research report from Brian Pasch Enterprises found that our click traffic generation product alone drives greater levels of quality value and shopper interactions than broader dealer funded Google SEM campaigns. The reason is, is that these dealer funded Google SEM campaigns tend to capture more consumers seeking basic service and administrative functions for their vehicles than active vehicle shoppers. With our concentrated approach, we have acquired an expansive and growing audience of active action minded car buyers to leverage as we enter the vehicle acquisition business, which is estimated to have a total addressable market of approximately $230 billion. But as you can see, we've expanded our total addressable market substantially. By transforming our business from a digital marketing platform to a transactional matchmaker at scale, we are leveraging our best practices and infrastructure for acquiring highly targeted, high intent consumer leads and accessing these leads directly all within the same efficient optimized platform. I'm extremely proud of the team's relentless work to drive operational efficiencies and execute on our growth objectives within our legacy marketing business and our scaling vehicle acquisition business. I'll provide more detailed commentary on our transformation strategy and Pasch's integration progress after Mike runs through the Q3 financial performance. Mike, over to you.
Michael Sadowski: Thank you, Jared, and good afternoon, everyone. Before I get into the financial results, I wanted to discuss some new additions to our presentation of the financials. As a result of our acquisition of certain assets to CarZeus in early Q3, we launched our new business segment that operates under our trading expert Inc. [ph] legal entity and our CarZeus brand. This business segment is involved in the acquisition and resale of used vehicles and will fully connect to our legacy business in terms of audience opportunities. This a new business segment for AutoWeb. We break out financial information associated to this segment in our latest 10-Q filing. This new information is loaded in the 10-Q under the heading "Segment Reporting", and provides key information for two segments. These two segments are a legacy business of automotive digital marketing, which includes the revenue streams of leads and digital advertising, and our new business of used vehicle acquisition and resale. And the following set of information break out the information in a manner similar to how we previously reported including both consolidated and more detailed results, but we'll also add in the segment information to enhance clarity around our financial results. Now let's jump right into our Q3 results. Total revenues in the third quarter was $17.2 million down from $18.7 million in last quarter, and $17.8 million in the year-ago quarter, primarily due to the impact of supply constraints across the automotive industry. As Jared mentioned, these supply challenges have kept new vehicle inventory levels low and forced many manufacturers to drastically reduce production levels. And these overriding effects offset the seasonal benefits we would typically see in our financial performance for Q3. The industry challenges primarily impacted our automotive digital marketing segment, which for Q3 totalled $15.6 million in revenue, down from $18.7 million in last quarter and $10.8 million in the year-ago quarter. Our used vehicle acquisition and resale segment totalled $1.6 million in revenue in Q3, as this a new offering for AutoWeb this is the first quarter in which we have this revenue stream and therefore, there is not a historical comparable. Within the automotive digital marketing segment our lead news in Q3 totalled $12.0 million, which is down compared to both $15.2 million last quarter and $14.8 million in the year-ago quarter. While lead traffic and volume were also down both year-over-year and sequentially we were able to maintain our retail lead capacity overall on the year-over-year basis, which we believe is a testament to the value of our subscribing dealers CNR Solution. Total retail dealer count for Q3 came in at 1,617 dealers, down slightly from 1,665 in Q2, and down from 1,707 in the year-ago quarter. Now moving to our digital advertising revenues within the automotive digital marketing segment. In the third quarter, digital advertising came in at $3.5 million remaining flat compared to Q2 but representing a 15% increase from $3.1 million in the year-ago quarter. Within digital advertising the clicks product delivered $3.0 million in revenue, compared to $2.8 million in Q2 and $2.4 million in the year-ago quarter, showing good growth in both sequential and year-over-year revenue. The positive click revenue was a result of both overall click traffic and click volumes growing on a year-over-year basis with 17% and 7% respectively. The growth we're generating across our click metrics indicates to us that we're seeing -- that our clients are seeing the benefit of all of our solutions, and they're expanding their click programs with us. And we're able to drive consumer demand and that consumer demand remains robust among our targeted audiences of active car shoppers. Now turning to the gross profit line, our consolidated third quarter gross profit was $4.4 million, which was down from both $6.6 million last quarter, and $6.4 million in the year-ago quarter. Third quarter gross margin came in at 25.8%, which was also down from both 35.0% last quarter and from 36.1% in the year-ago quarter. The decreases were driven primarily by the industry-wide supply constraints impacting our leads business that I mentioned earlier, and the mix exchange with adding used vehicle sales lower margin offering in Q3. The automotive digital marketing segment contributed $4.3 million in gross profit with a gross margin percentage of 27.5%. Our used vehicle acquisition and resale segment contributed $0.2 million in gross profit with a gross margin percentage of 9.9%. With the addition of our used vehicle acquisition and rescale segment, we expect that our overall gross margin percentage will be lower than when we had only the auto digital marketing segment. Consolidated operating expenses for the third quarter came in at $7.3 million compared to $6.7 million in both the prior and year-ago quarters. This includes an incremental $0.4 million in Q3 related to the integration, operation and scaling of cars used business line. In both our used vehicle acquisition and resale segment and our legacy automotive digital marketing segment, we have maintained our disciplined approach to cost management as we make progress on our growth initiatives. Consolidated loss in the third quarter was a loss of $3.1 million or negative $0.23 per share, compared to a net loss of $0.3 million or negative $0.02 per share last quarter, and a net loss of $0.4 million or negative $0.03 per share in the year-ago quarter. Adjusted EBITDA in the third quarter was a loss of $1.7 million, compared to a positive $1.0 million last quarter and in the year-ago quarter. Decrease primarily driven by the lower gross profit levels I discussed earlier. At September 30, 2021, cash, cash equivalents and restricted cash stood at $14.2 million compared to $15.1 million at December 31, 2020. At September 30, 2021, we had an outstanding balance of $10.0 million on our $20.0 million or revolving credit facility with CIT Northbridge Credit. In Q3, we completed amendments to our credit facility that enabled the utilization of up to $3 million of our credit facility to acquire inventory with the intent of resale, among others [ph]. As noted earlier in this call, the growth of our used vehicle acquisition and resale segment may not expand our gross margin percentages, but we believe it will help us maximize our gross profit dollars. Over the past three years, we've proven our operational efficiency and commitment to diligent cost management, as we've navigated our company through both a strategic turnaround and a pandemic that continues to challenge in the automotive industry we and our customers operate. As we move into this next phase of our growth and transformation strategy, we plan to continue leveraging this efficiently in both our cost structure and our consumer acquisition capabilities to grow our used vehicle acquisition and resale business, and build upon the comprehensive suite of resources we have already built into our platform. This concludes my prepared remarks, and I'll turn it back over to Jared for additional operational updates. Jared?
Jared Rowe: Thanks Mike. So before we conclude today's call, I'd like to provide some additional detail about our early progress with scaling our used vehicle acquisition in the resale segment under the CarZeus brand since, while we completed the acquisition on July 30. So as of September 30, we have purchased 126 vehicles from consumers and we sold a 115 of those vehicles. The vehicles sold by the end of the quarter, by the end of the third quarter carried an average selling price of just under $14,000 with an average per unit gross profit of $1,380. Now our gross margin here is on the higher end of the range that we provided last quarter. But as Mike just described, our approach to vehicle sales seeks to maximize the gross profit dollars we generate overall. While the gross margin percentage may get smaller as we increase the geographic scope of the business and the overall car sales volumes, we do expect to grow top-line revenue and gross profit dollars as we scale the business over time. After focusing on some initial acquisition transition work in August and September, we began layering in our first set of optimizations to the cars used platform early in October. So even from these early changes, we are seeing some noticeable improvements across each of the metrics that I just shared, which we believe validates our strategy. So similar to what we've done with our legacy marketing business, we refocused CarZeus marketing spend on quality, not quantity. Really focused on the main base of San Antonio, Texas, kind of tighten things up a little bit to really pinpoint the most relevant high quality leads with the strongest likelihood of leading to a completed vehicle transaction. Now, this may seem a bit counterintuitive; in that we tightened up the funnel a bit, but really what this did was this allowed us to drive more operational efficiency and marketing spend efficiency, which is really critical to this business. We improved our lead to purchase conversion rate from 5% in September to 9.1% in October, this represents a 410 basis points increase. And really shows we think some of the operating leverage that that exists in this business. Now while October results are preliminary and unaudited at this stage, I do want to share what that operational focus on lead to purchase conversion means for our business in terms of potential financial impact. So during October, the number of vehicles we purchased increased approximately 40% month-over-month. So we bought a little just over 90 vehicles, and we sold approximately 80 of those vehicles in the same period, which is really on the higher end of the range that we provided you last quarter. These vehicles sold at an average resale price for approximately $18,000 and with a gross profit margin percentage, well within our previously provided range of 7% to 10%. We're going to continue to seek more volume of units and we're going to focus on reasonable margin percentages. But ultimately, like we've talked about, we're really focused on generating gross margin dollars. We think that the vehicle acquisition or resale product line for us is really attractive in that. Again, it helps us drive top-line revenue, but more importantly helps us drive real gross margin dollar generation. The work that we've already done to transform our legacy marketing business has improved the efficiency of our operations and the comprehensiveness of our overall platform. Now what we're doing is we're building on those strengths by leveraging the resources that we've developed as a digital marketer and deploying them in support of the vehicle purchasing and resale business segment. In addition, we've already commenced our efforts to expand CarZeus beyond its initial base in San Antonio, as we're active already in Austin, which is a market that's adjacent to San Antonio. Now we have maintained our focus on cost efficiency by keeping the initial Austin launch all-virtual. We're leveraging the local leads within our existing database to source high intent buyers for the vehicle inventory that we acquire. But as we establish our foothold in Austin, we do plan to supplement our virtual presence with an in-person location to support vehicle inspections and serve as an additional customer touch point. Over time, we plan to replicate this approach to market entry in Austin across the other markets that we expect to enter. We expect this expansion to remain regionally concentrated in Texas to start with, but we already have the customer acquisition efficiencies, high intent audience of vehicle shoppers and growing suite of retail-ready platform offering needed to expand this offering nationwide. Well, the cars used business allows us to definitely navigate today's evolving car buying trends, it also serves as another step in the realization of our matchmaker strategy. We're transitioning from a digital marketing platform that facilitated matches between buyers and sellers to a platform that can directly fulfill these matches, whether we're providing retailers with in demand used car inventory via wholesale auctions, or connecting in-market consumers to dealers that can supply their desired vehicles. Again, an incredibly important point, because we believe that marketplaces need to make the transition from being commodity matters to matchmakers. We also believe that they need to make the transition of mapping third-party audience efficiency with first-party monetization. And we are one of the only marketplaces out there that have that collection of attributes. So while we're still in the early days of this vision, I'm extremely proud of what we have accomplished today. Our team is committed to optimizing the value that we provide for our customers and shareholders as we strengthen the scale -- as we strengthen the scale and capabilities of our automotive matchmaking platforms. And again, we believe that when the inventory returns, and the market normalizes that we will not just be well-positioned to improve the performance of our core marketing business. But we think we're going to be repositioned in a really interesting and exciting way because we will have the first-party monetization associated with the used vehicle buying and resale product grown and in far more mature, which we think is going to allow us to not just grow back with the market, but we think we're actually going to be able to take advantage and outperform the market when it comes back to normal inventory levels. So with that, I think we're ready for some questions. Operator?
Operator: Thank you, sir. [Operator Instructions]. Our first question comes from Aman Gulani with B. Riley Securities. Your line is now open.
Aman Gulani: Hey guys, thanks for taking my question here. So in the cars, what sort of trends are you seeing in the marketplace for used car pricing and clearly there's been like a sequential improvement in October. But I mean do you expect pricing to maybe soften a little bit as supply constraint ease going into next year?
Jared Rowe: I don't. Actually as we see. Thank you for the question by the way. In the first half of October, wholesale pricing actually grew faster than retail pricing. So what you're seeing is a bit of a disconnect between the wholesale and the retail market. Also, with new car inventory not being, not really expecting to come back in any real meaningful way in the first couple of periods in -- of next year, I think you're going to continue to see strong, strong pricing on the used car side. And like I said, the retail used car pricing needs to catch-up with the wholesale used car pricing, because there's been a disconnect there for a couple of periods now.
Aman Gulani: Got it. That's helpful. And then how should we think about growth plans into other markets? I mean, you already expanded into Austin. Are you thinking about other markets at this junction?
Jared Rowe: We are. We are. Listen we're a licensed us car dealer in the State of Texas. And so Texas is our current focus in terms of expansion. You will see us move into other markets throughout next year. But we're in a couple of smaller markets in Texas; you start thinking about Dallas, you start thinking about Houston. Those are far larger markets with real opportunity and those are just two of the bigger ones. There's other smaller markets which would support this kind of business as well. So absolutely, we intend to be growth-oriented with this side of the business. We intend to stay regionally focused on Texas right now. But we think there is a lot of opportunity just within the state of Texas.
Aman Gulani: Got it. That's helpful. Then maybe last question for me here. Last quarter, you talked about CreditIQ, have you fully integrated that into your platform at this point and then, what sort of puts and takes have you seen in terms of customer engagement with CreditIQ into your platform?
Jared Rowe: Yes, so it is up and running. We've got it integrated where we have overlap with some of our retail dealers, engagement metrics have been good. Candidly, we've got to put a little bit more, a little bit more energy behind that one, and expand it out. And we've talked with CreditIQ on some opportunities there to do that. But it is integrated, it's up and running, we like the way it's functioning, we think there's more opportunity for growth there. Again, a lot of that has to do though, with the inventory returning, right the finance platform was integrated for a specific reason to support both new and also used car transactions. But as well as I do that the bulk of our traffic is really new car centric, which inhibits our ability for, to really take advantage of the finance platform as we sit right now. But again, it's an investment that we made that will pay dividends as inventory returns. So again, it's one of the reasons why you'll hear us focus a bit more on cars used in the car buying side, because we can leverage that in market new vehicle audience to the benefit of CarZeus and we can actively participate in the used car market, not on the sales side, but really on the buy side.
Operator: Thank you. Our next question comes from Gary Prestopino with Barrington Research. Your line is now open.
Gary Prestopino: Yes. I have a couple of questions here. Jared, what does the acquisition, pending acquisition of CreditIQ by Cars.com will tamper your relationship with this entity? I mean, of course Cars.com is basically a lead-generation service as well?
Jared Rowe: Yes. So Gary you and I talked about, they're more about audience and they're more about engagement from an audience perspective. So to your point around this and dealers use them to reach in-market used car audience agreed. I actually think it says a couple things. Number one is I think it says that we picked a good partner because we were first on that one and we saw that it was good technology that can be used in different ways. I actually don't think it's a bad thing. I think it'll be a good thing over time because ultimately, we do have a far more new car centric audience than Cars.com, they have a more used car centric audience and our initial understanding of the acquisition is that they intend to continue to support the relationships that they have with others, and we're a significant strategic partner of CreditIQ.
Gary Prestopino: Okay. And then just jumping to the dealers here, you continue to see a decline in the dealer count. Are you -- are dealers that are one to two point dealerships the ones that are basically turning off the product right now just because they lack inventory, or is it just really across the board with nothing specific you can point to?
Jared Rowe: Yes, it's across the board, Gary, basically [ph] the appetite for new car leads just down, we jumped in October with what a 23, 25-day supply, 7 million units, the lowest I've ever seen in my lifetime. And so what you're seeing is, as we talked about, right dealer just continued to harvest profitability, because what they're doing there is those increased ASPs are offsetting the lower overall volumes, which is allowing them to at least for the past couple of years, past few periods, outperform on the gross margin line. Listen; if inventory doesn't come back, we're going to really struggle to continue to do that. So to your point, what we're seeing is we're seeing dealers across the board, just spend less on advertising. And we're caught up in that. Now, we feel pretty good about the fact that we've hit this position from a capacity perspective when we've held; we're not seeing mass attrition in our network. It's just a tough environment right now to sell digital media to dealers, because they're selling everything they have for North of MSRP in most instances.
Gary Prestopino: Right, I understand that. And then, with this CarZeus entity, could you just explain. I understand you're purchasing the cars from consumers. Are you selling the cars in the wholesale channel or you selling them to dealers?
Jared Rowe: We do both. So to your point, what we do is we peel traffic off of our existing traffic flow as well as do some individual marketing with our marketing team, our marketing team has taken full control of the digital media spent. We get consumers to give us some information. We provide them with a range based on the valuation that they're based on the condition report, I apologize that they provide to us. We set an appointment. We bring them in. We then buy the cars from them. Once we buy the car, then we do one of two things with it. We either sell it directly in a wholesale channel, meaning that we send it to the auction, or we place it with a wholesaler or we place it with a dealer. So we do both today, Gary. We think there is more margin opportunity to place the vehicles over time. We sell the vast majority of these cars through the auction channel. But we do think over time as we scale it, that there is enhanced margin opportunity by selling them directly to dealers, or directly to wholesalers as opposed to just being focused more on the auction than we are on that the basically the direct placement. So we do a little of both.
Gary Prestopino: But there is not going to be a channel conflict where you're selling the cars directly to consumers. I guess that's another thing I would be concerned about?
Jared Rowe: No, as we sit today, we're not direct-to-consumer. No, no.
Operator: Thank you. Our next question comes from Ed Woo with Ascendiant. Your line is now open.
Ed Woo: Yes, thanks for taking my question. I know it's not fair to compare you to competitors or even competitors outside of your industry. But just this week, a major real estate digital company who decided to get into the house flipping business, just burn through a bunch of money? How do you mitigate the risk of buying flipping cars?
Jared Rowe: Hi, Ed. Yes, so Zillow, right, they bought houses, they refurbish them, and then they sold them. The difference in our market is this. Number one is, we turn these cars quickly. Mike can keep me honest here, but I believe the last time I looked at the numbers our Biden sale was south of a week. So we're buying the cars and we're selling them almost immediately. We also don't refurbish the vehicles. So what we're doing is we're just buying them on the wholesale market, buying them directly from consumers, I'm sorry, and then selling them in the wholesale market. So we are not really in the business of predicting future value. What we're in the business of is predicting current value, and then turning that car as fast as possible. Ideally, Ed, we want to turn the money two and three times a month for each one of the cars, right. So we don't want to sit on the car, we don't want to hold the car. And that's a fundamental difference between us and what Zillow is doing. We're not in the refurbishing business. We're not in predicting future value. We're just predicting current value, and then harvesting that value as fast as humanly possible in the wholesale channel.
Ed Woo: Great. That's definitely a very good explanation. So you tend to flip these cars within a couple of days?
Jared Rowe: Yes, Mike. What do we currently do?
Michael Sadowski: Yes, it's several weeks in between the buy and the sell. And we're collecting in -- on average, less than two weeks. So yes, that's a very fast turn of collection on the cash turn as well. To Jared's point that allows us to reuse that cash multiple times in a period.
Ed Woo: And calculation of the prices is it just a big box, or is it actual people who make their judgment calls?
Jared Rowe: So we put a team down in San Antonio that makes judgment calls on it. We also as you can imagine, this team has a lot of experience in algorithmic approaches to vehicle pricing. And that's in development as well. And so when we think about these processes, it's always a blended algorithmic and human approach, because there are certain vehicles that always trade within a fairly tight range. Think commodity vehicles, right. Think, Toyota Corolla, Nissan Altima, those types of vehicles, they tend to trade in a very tight range, you get into trucks and things like that. Those have a broader range in which they trade, which is why you have human interaction. So it is a very much a blended approach that we intend to enhance over time. And again from past lives, this team has a good bit of experience in running these kinds of businesses at scale.
Ed Woo: That's good. I thoughts you don't have to robot it going on cruise control, I think --
Jared Rowe: No, no, no. No, no, no.
Ed Woo: Thank you for answering my question. And I wish you guys good luck.
Jared Rowe: Thanks, Ed.
Ed Woo: Thank you.
Michael Sadowski: Thank you.
Operator: Thank you. Our next question comes from Bruce Goldfarb with Lake Street Capital. Your line is now open.
Bruce Goldfarb: Hi guys, thank you for taking my call. Question about CarZeus. Are you -- are there any challenges in gaining audience with the used car sellers?
Jared Rowe: No, you think that no, Bruce could chat with you, no, that's what we think gives us the right to win in this market is we've got the audience, right. So we've got, we're still generating several 100,000 new car leads a month. Over 70% of those consumers have a vehicle to trade. A lot of those consumers are actually looking for an alternative method unbundle the transaction. They're being taught to unbundle the transaction by the industry overall. And what we do is we offer them an opportunity to do it in a very, very consumer friendly way. A couple of things that differentiates us from some of the other competitors. Number one is we are appointment based, meaning that we will get you in and out in an allotted period of time. And that's something we pride ourselves on, the convenience of coming in and getting your vehicle inspected. The second thing we do is you can walk out with a check that day, that's different than a lot of the competitors out there. You may have to wait for your money. So we like the audience we have. We like the fact that we can leverage it for this purpose. And we like our position in the markets, being very consumer centric, and being very focused on meeting their specific needs, which are get me in, get me out in a reasonable amount of time, help me understand what this process is going to look like. And when I leave without my car keys am I going to leave with a check. And in our world the answer to that is yes.
Bruce Goldfarb: Great. And you're talking about decoupling it with a new car purchase, right. That's what you're talking about?
Jared Rowe: Yes, yes, yes, decouple it from the transaction overall, right? There's been a school of thought for years; about a consumer will have more leverage in a vehicle transaction, if they uncouple the components of the vehicle sales CarMax, Carvana Vroom dealers, right. Some dealers out there have been fairly focused on this as well. Dealer still don't have -- don't get most of their used car inventory sub 10% of their inventory, they acquired directly from consumers. And so this whole concept of unbundling the transaction is very well worn now. We actually are just kind of tailing along with that wind, and very focused on the consumer interaction. Setting expectations appropriately, getting them in and out, and having them leave with a check, which again is a little different than some of our competitors.
Bruce Goldfarb: And have you gotten any? It sounds like there's other people also doing this. But have you gotten any pushback from dealers?
Jared Rowe: No, because we're not. No, because we're an alternate source of inventory for them. We are not in the direct consumer market in terms of selling these vehicles, which means we buy these vehicles from consumers and we put them into the wholesale channels, the bulk of dealer's inventory for used car sales, still to this day comes from trade-ins, and comes from and comes from the wholesale channels auctions. So what we're doing is providing them with an opportunities to get access to this inventory that they may not otherwise see.
Bruce Goldfarb: And then I guess my last question is, do you anticipate. I mean, now it sounds like you're turning the inventory so quickly. It's probably not a factor. But as you ramp, do you see any financing barriers as a challenges as you ramp this business and things normalize?
Jared Rowe: No, over time, we'll have to continue to extend our financing capabilities. But listen, as well as I do, Bruce. It's all about the risk models, and how quick you turn the money. And quite frankly, we've got a low risk, we've got a very controlled risk model, and we turn the money fast. So no, we don't think that that'll be an impediment to growth. We don't no.
Bruce Goldfarb: Great.
Jared Rowe: Again what I would say too Bruce is, one that is keep coming back, because I apologize. But there are other folks doing this. What happened with a lot of those folks is they had a feeling from a cost of acquisition perspective, which makes it more difficult for them to enter new markets. That's our secret sauce. We've got the audience and as long as we keep turning the money fast, breaking [ph] that risk model right you're always going to have breakage in your portfolio, but managing that breakage effectively, which we're pretty good at and we're already showing that we can do. Now we think access to capital is going to be -- not going to be challenge.
Bruce Goldfarb: Great. And this -- I love this and it looks, it sounds like as you can move through Texas. And this is things you can bring in other states and really scale this?
Jared Rowe: Yes, Texas is the second largest car market in the country. You've got California, Texas and Florida. So yes, we're excited about the opportunity that sits inside of Texas. But we're also excited about what we could do outside of that, because as I mentioned in my prepared remarks, we believe, we have the audience necessary to support a scaled national offering, what we need to do is we need to build the operational components underneath it. We've got one, right. We're in San Antonio, we're in two now, because we've got Austin, we're extending into Austin. So we're not -- we're also not going to let any moss grow under our feet here. We intend to move fairly aggressively on this side.
Bruce Goldfarb: Great, thank you. Congrats on the progress. And I look forward to seeing how this unfolds. Thank you.
Jared Rowe: Thank you.
Operator: Thank you. At this time, this concludes our question-and-answer session. I would now like to turn the call back over to Mr. Rowe for closing remarks.
Jared Rowe: All right. Well, I just like to say thank you to everybody. We appreciate you joining the call. We look forward to speaking with you all again soon. I will just reiterate a couple of things, right. So there are some industry headwinds out there for businesses like ours. I think that this team is doing a great job. And I want to thank the team for doing that works. They're doing a great job of managing the core business. But more than just managing the core business also looking to transform the business. And again, we believe very strongly that third-party audience efficiency with first-party monetization, being able to participate in their monetization, is the future of marketplaces. And so we couldn't be more excited to be bringing the pieces together that we've brought together and I really looking forward to continuing to grow this business over the next several periods. So with that, I'm just going to say thank you. Appreciate all your time. Appreciate your support. We will talk again soon.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation.